Operator: Good afternoon and welcome to our Guardant Health Fourth Quarter and Full Year 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards end of today’s call. As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Carrie Mendivil from the Gilmartin Group, for a few introductory comments.
Carrie Mendivil: Thank you. Earlier today Guardant Health released financial results for the quarter ended December 31, 2018. If you have not received this news release or if you’d like to be added to the Company’s distribution list, please send an email to investors@guardanthealth.com. Before we begin, I’d like to remind you that management will make statements today during this call that are forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appear in the section entitled Forward-Looking Statements in the press release Guardant issue today. For a more complete list and description, please see the Risk Factors section of the Company’s fourth quarter report on Form 10-K, which the Company will file with the Securities and Exchange Commission. Guardant disclaims any intention or obligation to update or revise any financial projections are forward-looking statements whether because of new information, future events or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast March 12, 2019. With that, I’d like to turn the call over to Helmy Eltoukhy, Guardant’s Chief Executive Officer. Helmy?
Helmy Eltoukhy: Thanks, Carrie, and thank you everyone for joining us this afternoon. I’m pleased to welcome you to Guardant Health’s fourth quarter and full year 2018 earnings call. Joining me today is AmirAli Talasaz, my Co-Founder and Guardant’s President; and Derek Bertocci, our Chief Financial Officer. The mission of Guardant Health is to conquer cancer with data and this mission is fueled by our commitment to the patients we serve. Accordingly, I would like to begin our call today with a brief patient’s story. We recently tested a 61-year-old non-smoking female patient diagnosed with metastatic lung cancer. Tissue testing for only the most common gene mutations known as HubSpot testing at her community hospital failed to identify any targetable alterations. She was referred to an academic cancer center in the Midwest for further testing where she was immediately hospitalized. Because her health was declining, there was little to no hope of her ever leaving the hospital. At the academic cancer center, her oncologist immediately ordered Guardant360 because the test is the most rapid means of comprehensive testing for all targetable mutations, including rare ones not commonly tested for. Just four days following the blood draw, the Guardant360 results came back, a pair of rare EGFR mutations that are treatable were found. The patient was immediately placed on afatinib a targeted therapy with a response rate two to three times higher than chemotherapy or immunotherapy. As a result of this information and this corresponding therapy, she was discharged from the hospital just a few days later. This patient’s story illustrates how rapid and comprehensive genomic results can be critical to a good outcome when treating advanced cancer patients. Tissue based genomic testing currently has a turnaround time of two to four weeks as samples typically have to be sent from the hospital where the biopsy was performed or stored to an outside laboratory capable of doing next generation sequencing. In contrast, Guardant360 is a simple blood test with a seven day turnaround time from any location in the U.S. Often oncologists have to initiate treatment within a week to 10 days and unfortunately about one third of patients do not get a second chance for another treatment after the first one fails. This case demonstrates the necessity of a blood first genomic testing paradigm predicated in a highly sensitive and well validated comprehensive testing platform with a rapid turnaround time. This story tangibly illustrates our belief that with better tools, providing better information upfront, clinicians can apply and more effectively utilize precision oncology to better conquer cancer not only for advanced cancer patients today, but even at the earlier stages of cancer in the future where intervention may be considerably more effective. With this goal in mind, we have developed a proprietary platform that enables far greater access to the tumors underlying information and are developing tools based on this platform to address the three main buckets of cancer care, therapy selection, recurrence monitoring, and early detection. Today we have launched three products: Guardant360 and GuardantOMNI for the therapy selection, and most reasonably in December of 2018 the LUNAR assay for research applications related to recurrence monitoring and residual disease detection. Guardant360 is today the market leading liquid biopsy used over 80,000 times by more than 6,000 oncologists and over 50 pharma companies. Leveraging data and deep biological insights we are gathering from these commercial programs. We were continuing to make important progress with our LUNAR research targeting residual disease, recurrence monitoring and early detection. We are making exciting advancements in these programs and estimate the market opportunity for our commercial and pipeline products is over 35 billion in the United States alone. During 2018, we have made significant progress in multiple fronts with driving continued adoption of our liquid biopsy platform by providers by a pharmaceutical customers and payers and exited the year with 82% year-over-year revenue growth or $90.6 million. Revenue for the fourth quarter totaled $32.9 million representing growth of 64% over the prior year quarter. Clinical volumes grew 24% year-over-year in the fourth quarter to 8,596 clinical tests and pharmaceutical volumes grew 14% year-over-year to 3009 tests. Despite our position as the market leader and encouraging progress in the comprehensive liquid biopsy setting, we’re still in the very early innings of this exciting opportunity. Looking ahead, in 2019 we are committed to advancing our entire product platform. On the therapy selection front we will accomplish this by building out proof points in order to move towards a Blood First paradigm for genotyping of advanced cancer patients, which we believe will further accelerate adoption of testing. As was evident in our patient’s story delay in care that may result from tissue testing could be detrimental to the patient’s treatment options, not to mention the average lung biopsy costs over $14,000 and has an 19% complication rate. This is part of the reason why only a staggeringly low 8% of lung cancer patients are tested to the standards recommended by guidelines. In our last earnings call we outlined three elements that should be key drivers for this shift. The first is the readout from our NILE study, a prospective multicenter clinical trial measuring Guardant360 head to head versus tissue in approximately 300 non-small cell lung cancer patients. Second is FDA approval of Guardant360 with a pan cancer tumor profiling label and finally the third is pan-cancer Medicare coverage based on FDA approval. That will be granted under the recently finalized National Coverage Determination or NCD for next generation sequencing tests. In late February, we were very proud to announce that the abstract detailing the readout from our NILE study was published ahead of his presentation at the American Association for Cancer Research or AACR annual meeting in late March. In this study landmark data demonstrated that Guardant360 detected targetable genomic biomarkers at a similar rate to tissue meeting the study’s primary endpoint and supporting the use of blood based biomarker testing ahead of tissue based testing for all newly diagnosed advanced non-small cell lung cancer patients. Investigators found that Guardant360 identified guideline recommended biomarkers in 77 patients, tissue testing identified them in 60. Importantly for each patient in whom Guardant360 identified a target of an FDA approved drug. EGFR, ALK, BRAF, ROS1, tissue also detected the same alteration. Importantly, the median time to results for Guardant360 was much shorter than for tissue testing, a key component as time to treatment is a critical factor in the care of a lung cancer patient that typically has a median survival of less than one year. Guardant360 results were reported an average of nine days versus 15 days per tissue. The NILE data indicates that it is a compelling option to use liquid first head of tissue for molecular testing in newly diagnosed advanced non-small lung cancer patients. Given that Guardant360 finds mutations at a similar rate to tissue based testing while ensuring patients receive guideline complete testing with a faster turnaround time. This data marks a big step forward in establishing a Blood First paradigm. This is an important new dataset for oncologists and taken together with other reason and independent investigations into Guardant360 in this clinical setting support the first line use of Guardant360 for treatment selection ahead of tissue testing. Even ahead of the other two elements, FDA approval and pan-cancer Medicare coverage, the sheer volume of analytical and clinical data that we have generated to date combined with our support from clinicians has led to what we believe is an unparalleled number of positive coverage decisions in this space from commercial payers. Guardant360 is currently covered by Medicare and many private payers including Cigna and many Blue’s plans, which have all adopted reimbursement policies that specifically cover Guardant360 for non-small cell lung cancer. In the fourth quarter of 2018 we were endorsed by the Blue Cross Blue Shield Association, which has led to a sharp step function increase in number of Blues plans adopting positive policies for Guardant360 such as Blue Cross Blue Shield of Florida, Horizon Blue New Jersey and Blue Shield of California to name a few. As a result, we are pleased to update the number of covered lives to over 115 million up from 77 million lives at the end of Q3. Looking ahead to 2019, we aim to take advantage of these tailwinds and upcoming potential catalysts by continuing to invest in areas of substantial growth. Specifically, as we mentioned in our last earnings call, we are in the process of expanding our commercial team to approximately 60 sales representatives and are already seeing early return of investments there. We are making tremendous progress with our LUNAR program and intend to further accelerate our research and development efforts towards earlier cancer detection. Finally, we are making excellent progress with our Softbank joint venture and will accordingly accelerate some of our regulatory and commercial activities there to capitalize in the large market opportunity for liquid biopsy in Japan. In sum, we are very encouraged by this strong growth across our business, and as a result, are projecting 2019 revenue of $130 million to $135 million. With that, I will now turn the call over to AmirAli Talasaz for more details on our recent progress of our business and product portfolio. AmirAli?
AmirAli Talasaz: Thanks, Helmy. In parallel to our efforts of accelerating adoption of clinical testing, we are also deepening our relationships across more than 50 pharma partnerships, which use our services in drug discovery and development programs. In the fourth quarter, we continue to make progress on our companion diagnostic pipeline and announced a multi-year agreement with AstraZeneca to develop blood-based companion diagnostic test, supporting the commercialization of AstraZeneca’s oncology portfolio based on industry-leading comprehensive liquid biopsy platform. The first component of this partnership is a collaboration around Guardant360 to utilize it as a companion diagnostic for identification of EGFR-mutant patients eligible for Tagrisso in the first-line setting and at the time of progression. Today, Tagrisso is the leading target therapy by revenue in the non-small cell lung cancer space. We are excited to leverage our Guardant360 technology to help find more eligible patients who patients who could benefit from this breakthrough therapy. The second component is a collaboration around AstraZeneca’s lead immuno-oncology asset, Imfinzi. Under this collaboration, GuardantOMNI will be used as a companion diagnostic to identify patients that may more likely respond to immuno-oncology agents based on tumor mutation burden or TMB. At European Society for Medical Oncology or ESMO, Immune-Oncology 2018 Congress, AstraZeneca presented TMB data using GuardantOMNI from the Phase III MYSTIC trial. In an exploratory analysis, GuardantOMNI was able to successfully call TMB from blood on almost twice as many patients versus tissue-based TMB approaches. Our proprietary method of calling TMB resulted in a dramatic improvement in overall survival of AstraZeneca’s combo I-arginine [ph] over standard chemotherapy for those patients that were TMB high. 39% overall survival at two years compared to only 18% overall survival for chemotherapy. The data presented at ESMO’s I-O Congress deals on other recent data that shows Guardant’s liquid biopsy technology can increase the number of patients who are tested for important biomarkers relative to tissue. AstraZeneca’s working target therapy on immune oncology has already benefited thousands of advanced cancer patients, and we are proud to support the expansion of the impact of AstraZeneca’s assets. GuardantOMNI will be the second test that we are taking through the FDA. And as a result, will be eligible for Medicaid coverage either under the NCD. In support of these efforts, we recently received breakthrough device designation for GuardantOMNI, which will enable an accelerate its review process. Between Guardant360 and GuardantOMNI, we are building a highly differentiated and broad companion diagnostic liquid portfolio. We believe this portfolio will streamline the clinical development and commercialization process for new drugs and increase the adoption rate of new biomarker treatment therapies post-approval. Accordingly, we are continuing to see growing interest from many of our biopharmaceutical partners in leveraging our companion diagnostic development capabilities for their programs. We also believe that the significant increase in companion diagnostic opportunities we are pursuing, including those around GuardantOMNI, should only minimally impact the previously mentioned first half of 2019 timeline for our FDA submission of Guardant360. And finally, turning to our LUNAR program. We are excited about the progress towards recurrence monitoring for cancer survivors and early detection. In early 2019, we announced the launch of the LUNAR assay for research use by biopharmaceutical and academic researchers. Through our first two commercial products, Guardant360 and GuardantOMNI, we have captured data over a number of years that provides us with deep insight into the circulating tumor DNA biology of cancer patients. The LUNAR assay leverages these insights in order to overcome a variety of challenges that have confounded prior approaches for the detection of early stage cancers, including inadequate tissue, biological noise and the limited sensitivity of genomic-only tests. With a single blood drop, the assay is simultaneously able to detect both genomic alteration and epigenomic signatures, which are combined and reported as a single quantitative measure of tumor burden. Using somatic genomic alteration alone has issues with clinical sensitivity of detecting cancer in early stage patients. We believe that the incorporation of biologically relevant epigenomic signatures is critical in increasing the sensitivity of the assay. Multiple top tier academic research networks and biopharma companies will utilize the LUNAR assay studies involving adjuvant therapy decision-making, recurrence monitoring and minimal residual disease detection. The clinical version of the test for investigational use in prospective studies is expected to launch in the second half of 2019. Earlier intervention using precision medicine oncology could potentially improve outcomes for a substantial number of cancer patients. Based on the LUNAR technical performance we are seeing through the additional epigenomics, we’ve been exploring use of the assay for screening in early stage cancers. We are encouraged by the early promising LUNAR clinical data and look forward to presenting further details on its performance in detection of early stage colon cancer at the AACR annual meeting in late March. With that, I will now turn the call over to Derek Bertocci for more detail on our financials. Derek?
Derek Bertocci: Thank you, AmirAli. Revenue for the fourth quarter of 2018 totaled $32.9 million, that’s 64% from $20 million in the same period of the prior year. This growth was driven by precision oncology testing revenue, which increased 98% due to a combination of higher testing volume and increased revenue per test. Fourth quarter clinical precision oncology volume totaled 8,596 tests, up 24% from 6,940 tests in the prior year quarter, due mainly to an increase in the number of physicians ordering Guardant360 tests. Average revenue recognized per test in the fourth quarter was more than double the fourth quarter of the prior year due to higher payments from commercial payers that were beneficially affected by the protecting access to Medicare Act of 2014 plus payments that we began to receive in the fourth quarter from Medicare under our LCD. Of the $4.3 million we received from Medicare in the fourth quarter, $2.1 million was paid for samples tested in the third quarter of 2018. Excluding this $2.1 million, ongoing precision oncology revenue from clinical tests in the fourth quarter totaled $15.1 million, up 124% from $6.8 million for the prior year quarter. Fourth quarter biopharmaceutical precision oncology volume totaled 3,009 tests, up 14% from 2,630 tests in the prior year quarter, due to an increase in demand for GuardantOMNI tests. Precision oncology revenue from biopharmaceutical tests in the fourth quarter totaled $10.8 million, up 46% from $7.4 million for the prior year quarter, due to an increase in volume and higher price for GuardantOMNI tests. Development services revenue in the fourth quarter totaled $4.8 million, down 18% from the prior year quarter, which included $5.1 million of revenue recognized from completion of the laboratory development project in 2017. Development services revenue from biopharmaceutical customers is subject to quarter-to-quarter variability as drug discovery and development programs start and complete. Development services revenue of $12.2 million for the full year 2018 was up 58% from $7.8 million in the prior year. Along with the high growth in biopharmaceutical precision oncology revenue, this demonstrates the increasing demand from biopharmaceutical customers for Guardant Health tests and services. Gross profit is total revenue less cost of precision oncology testing and cost of development services. Gross profit for the fourth quarter of 2018 was $18.9 million, compared to a gross profit of $10.9 million in the same period of the prior year. The gross margin or gross profit divided by total revenue in the fourth quarter was 57.6% as compared to 54.3% during the fourth quarter of 2017. Gross margin improvement was primarily due to extra revenue booked from Medicare payments, as well as an increase in precision oncology ASP, and a nominal increase in precision oncology – nominal decrease in precision oncology cost per sample. Total operating expenses for the first – for the fourth quarter of 2018 were $46.3 million or 75% – or a 75% increase from $26.5 million in the fourth quarter of 2017. With significant progress in several areas, including improving reimbursement for clinical, precision oncology testing, growing demand from biopharmaceutical customers and encouraging early results from our LUNAR assay. We have increased our investment in key functions to optimize Guardant Health’s ability to capture the leadership position in our target markets and provide the best benefits to patients, customers and our shareholders. We have approximately doubled R&D spending to drive our LUNAR programs, prepared for our Guardant360 submission to the FDA and continue to improve our Guardant360 and GuardantOMNI products. In sales and marketing, staff and programs have been increased to pursue opportunities in several areas. First, in our joint venture with SoftBank, we have established the initial teams to pursue opportunities in Asia and Middle East and Africa with particular emphasis on Japan, where we are already involved in large clinical studies. Second, given our significant improvements in reimbursement, we increased our staff and programs to drive clinical adoption in the U.S. Third, we are expanding our biopharmaceutical commercial team to handle the significant increase in demand for testing and more recently companion diagnostic services from biopharmaceutical customers. General and administrative expenses were increased as a result of additional requirements as a public – our international joint venture with Softbank and to support our overall growth. Net loss for the period was $25.3 million compared to a net loss of $15.1 million in the fourth quarter of 2017. Net loss per share attributable to Guardant Health common stockholders was $0.30 in the fourth quarter of 2018 as compared to $1.27 in the corresponding period of the prior year. Turning to the full year 2018, revenues were $90.6 million, an 82% increase from $49.8 million in 2017. Precision oncology revenue increased $36.3 million or 86% with clinical and biopharmaceutical each contributing similar amounts to the growth. Clinical volume for the year grew to 29,592 tests, up 15% year-over-year from 25,626 tests due mainly to an increase in the number of physicians ordering Guardant360 tests. The average revenue recognized per test in 2018 grossed 54% from the prior year as a result of factors noted previously for the fourth quarter. Combined, volume and price increases drove a 78% increase in clinical testing revenue in 2018 to $43.7 million from $24.5 million in 2017. Biopharmaceutical volume grew 65% year-over-year to 10,370 tests due to the introduction of GuardantOMNI at the end of 2017 plus an increase in the number of biopharmaceutical customers and their contracted projects. Precision oncology testing revenue for biopharmaceutical customers increased 98% in 2018 to $34.7 million from $17.6 million in 2017 due to the increase in test volume plus the higher price charge for GuardantOMNI. Development services revenue grew 58% to $12.2 million due to new projects in 2018, mainly earned from biopharmaceutical customers for companion diagnostics development and regulatory approval services, plus completion of a lab installation project, which was primarily performed in 2017. Gross profit for 2018 was $47.4 million compared to a gross profit of $18.2 million in 2017. The gross margin or gross profit divided by total revenue in 2018 was 52.3% as compared to 36.6% in 2017. Gross margin improvement was due to several factors. One, we began to be paid in the fourth quarter for testing Medicare patients as a result of the issuance of our LCD in late August 2018. Two, commercial payers made higher payments that we believe we’re beneficially affected by the protecting access to Medicare Act of 2014. Three, the average selling price of biopharmaceutical tests increased due to introduction of the MF 2017 of the GuardantOMNI test, which has a higher selling price than the Guardant360 test. And four, the overall increase in volume of tests, which supports more efficient use of our production facilities. Total operating expenses in 2018 were $140.4 million, 48% – $94.8 million in 2017. R&D expenses for 2018 were $50.7 million compared to $25.6 million in 2017. Net loss for the period was $84.3 million compared to a net loss of $83.2 million in 2017. Net loss per share attributable to Guardant Health common stockholders was $2.80 in 2018 as compared to $7.07 in 2017. We ended the fourth quarter 2018 with $496.5 million in cash, cash equivalents and marketable securities. For the full year 2019, we forecast revenue to be in the range $130 million to $135 million, representing growth of 43% to 49% over 2018. We expect this growth to be more heavily weighted to the first half of 2019 as a result of revenue contributions from companion diagnostic programs. We expect net loss in the range of $126 million to $129 million. We also expect clinical sample volume for 2019 to be in the range 35,000 to 37,000 tests. At this point, I would like to turn the call back to Helmy for closing comments.
Helmy Eltoukhy: Thank you, Derek. In closing, we believe we have unique opportunity at Guardant to expand unprecedented access to cancers molecular information throughout all stages of the disease. We are making significant progress on our goals and look forward to presenting data from our NILE study and LUNAR program at AACR. With that, we will now open it up to questions. Operator?
Operator: Thank you, sir. [Operator Instructions] Our first question is going to come from Tycho Peterson from JPMorgan. Your line is now open.
Tejas Savant: Hey, guys. This is Tejas on for Tycho. Thanks for the questions here and congrats in the quarter. I just wanted to get a better understanding, Helmy, if you’re 2019 guidance, I believe, I just heard Derek say it’s going to be weighted towards the first half to companion diagnostic milestones. Is the upside relative to where most Street numbers were driven more by the companion diagnostic piece or is it sort of fundamental clinical strength? And if you could talk a little bit about your underlying volume assumptions for clinical versus biopharma, that would be super helpful as well.
Helmy Eltoukhy: Yes, maybe I’ll start and then maybe Derek can jump in. I think we’re seeing, very good progress in all aspects of our business. I think if you think about the numbers we’re guiding towards in terms of 35,000 to 37,000 clinical tests, I think we’re seeing good progress with some of the clinical data releases, some of the investments we’ve made in the commercial team. And so we’re – I think fairly encouraged by, I think the early signs that we’re seeing in our business. I think we see similar growth to that on the biopharmaceutical side as well. So I would say that, both sides are seeing that backbone of growth. And then overlaid onto that are some of these companion diagnostic deals that we believe will be front half weighted in terms of the revenue contribution.
Derek Bertocci: Yes. As Helmy said, we are seeing good growth in both and as he mentioned the development services deal that we announced are accelerating our growth in that area. So that would be what we’re expecting to particularly impact the first half of the year.
Tejas Savant: Got it. And then a quick follow-up here on the NILE study. Helmy, do you – over what timeframe should we start thinking of perhaps an upside or a lift in volumes based upon some of this and coordinates data. And any color you can share on outcomes here, I mean, comparing sort of liquid versus tissue. I remember in the past you’ve spoken about sort of clinical outcomes being the true gold standard. So, beyond just sort of concordance for [indiscernible] versus any efforts along those lines that you have in the pipeline here?
Helmy Eltoukhy: Yes. So both good questions. Maybe we’ll start with the second one. So the secondary endpoint of this study is clinical outcomes that will readout and that’s still ongoing. So we will get that as part of the NILE study. But we believe that a lot of the importance of NILE is really this idea that, can you trust liquid at the first-line setting, can you sequence it before tissue testing? And I think the positive readout and the meeting of the primary endpoint of NILE, I think proves that out. And so we believe that there are a couple of steps that are needed. The NILE is obviously, the first critical catalyst we believe to initiating and establishing blood first paradigm in liquid. But we think that needs to be obviously, paired up with FDA approval to have that standard of quality and the third-party standard kind of approval by an agency that clinicians trust in. And in the third piece, and equally important is the expansion of Medicare coverage from lung cancer that we currently have to pan-cancer. And so this is why we are building up the commercial team at this point. We’ve made good progress there. But we believe to fully realize, I think through acceleration and adoption, all those three catalysts are coming in. That being said, I didn’t think we saw some positive uplift from the JAMA Oncology study in Q4 of last year and you can see that, we had a fairly strong Q4 in terms of clinical volume. So some of these things, we’ll help, how much each one helps individually. I think it’s hard to predetermined, but we do believe the combination of all three – we have very high confidence that that would lead to turning point, an inflection point in terms of adoption of liquid testing.
Tejas Savant: Got it. And then one final one for me – or for perhaps AmirAli. I think, AmirAli towards the end of your comments, you mentioned, some exciting data in colon and one of the AACR abstracts that really jumped out showed that in this retrospective analysis, you had 95% detection rate in stage one and two colon. I think it was a little bit higher in stage three, if you include stage three. So could we see you perhaps launch a standalone assay for early detection in colon, given some of the success others have had with alternatives to colonoscopy? And how – do you have any plans for a prospect of cohort that looks at the performance of the assay in this setting as well?
AmirAli Talasaz: Yes, sure. So, thus actually we are excited with some of the early and promising data that we are seeing in our R&D activities of what you highlighted that this LUNAR abstract, which is kind of get presented in oral setting in AACR. It’s a promising early data for us. That really shows the potential of liquid biopsies and impacting early cancer management specific like early cancer detection, based on that we are basically increasing our investments in R&D activity around LUNAR. Still it’s a small number of patients that are basically tested in that abstract. Definitely, we are overtime are increasing the number of patients and also match control patients to better understand the performance of the assay that we’ve developed. But we believe it’s a very unique differentiated assay. And early promising data shows that really liquid biopsy could have that potential, so we are going to give it’s course and, in the future, we’ll keep you guys posted, the whole field about how LUNAR can play a role in early cancer detection, and prospective studies is definitely a part of it.
Tejas Savant: Got it. Thanks so much guys.
AmirAli Talasaz: Yes. Thanks, Tejas.
Operator: And our next question comes from Derik De Bruin from Bank of America. Your line is now open.
Derik De Bruin: Good afternoon.
Helmy Eltoukhy: Thank you, Derik.
Derik De Bruin: A couple of questions. So the pan-cancer label, obviously, an important milestone coming up. Can you sort – can you walk us through like what the FDA needs to see the to make sure that you get the pan-cancer label. This is the question being that there’s some sort of – what’s the risk around not getting that designation?
AmirAli Talasaz: So Derik, I will jump in. As you may know, in the FDA packages, there are different kind of documents that you have to provide to FDA in terms of your quality system, in terms of the analytical validation of the assay and clinical validation of the assay. So we are well into those programs, both in terms of quality system and analytical data and clinical validation, the partnership that we announced with AstraZeneca around Guardant360 and Tagrisso is related to that FDA package, which is basically on the clinical validation that’s running the retrospective patient samples that have been part of that clinical trial before. So everything is retrospective testing or model samples that we have to test, and submit the data to FDA. Since we have breakthrough device designation, we are projecting that review cycle would take six months post our PMA submission later in the first half of 2019 or with some maybe minimal impact right after that.
Derik De Bruin: Great. Is there anything specific about anything included in the assay that you have get so specifically to get to pan-cancer. I mean I think it’s pretty obvious you’ll get a late-stage non-small-cell lung cancer approval, given the data is very strong. I’m just curious if there’s incrementally you’re showing for pan-cancer.
AmirAli Talasaz: Yes. In terms of studies, they’re kind of all pre-agreed with the agency, and there are a lot of similarities with type of analytical studies that they wanted to see then for tissue-based testing. So effectively, many different cancer types are going to get tested as part of the analytical validation in order to get the tumor profiling claim across pan-caner types. And all of those cancer studies are already planned and ongoing.
Derik De Bruin: Great. In the Japan, the Softbank and sort of that expansion of that market, how long should we – when should we start to see a contribution to that? I mean I think we have some pickup in that program and contributing in the second half of 2019. Is that still a good way to look at – this pickup in sales to Japan?
AmirAli Talasaz: I think, we obviously are seeing some growth there in terms of volume. A lot of that is, that’s working with a lot of the hospitals there. But I would say, for a real pickup, it’s going to come after a regulatory approval and MHLW reimbursement and that’s going to take some time. There will be a cycle is as long, but, we’re making very good progress on that. There’s a lot of excitement in Japan around this type of testing and providing this type of testing for cancer there.
Derik De Bruin: Great. Just a question on the – on when you started thinking about using liquid biopsy, as a first line in the lung cancer, sort of, how do you think about the market on that? I mean the – if it did go first line, how should we think about the number of biopsies and obviously there’s also the recurrence of the use of assay. And I’m just sort of curious and sort of like how you’re thinking about the TAM and how you think about the modeling of a first line, non-small cell lung cancer for Guardant360.
Helmy Eltoukhy: As you know from the drug space, I’m getting the first line is the biggest market opportunity and this – so that’s why we see this a jumping over from progression used case that we first launched into release hardly showing that this can be using the first line setting without compromising patient care. That being said, there are 700,000 metastatic advanced cancer patients in the market and those are the first line setting. So, I think it’s consistent with our TAM, the $6 billion opportunity and the therapy selection market. And we believe this is part of the roadmap of realizing that TAM is moving towards first line use of a Guardant360 testing. And AmirAli will jump in and add something.
AmirAli Talasaz: Just to make one comment, now has been focused on lung cancer and it really trying to make the statement lot blood-first paradigm in non-small cell lung cancer. But we don’t believe this is – this blood-first paradigm is just applicable to lung cancer. That’s definitely what now proofs today. If you just look at our publication now, about half of our publications are outside lung cancer and, there are many different cancer types that standard of care based on tissue testing, are not the best diagnostic paradigm of choice as the first testing modality. So we are expecting that the same kind of finding and blood first paradigm could get expanded into other cancer types as well.
Helmy Eltoukhy: Yes. We’re seeing that same gap between clinical guidelines and clinical practices and other cancer types. So stay tuned.
Derik De Bruin: Great. And just a quick one for Derek. The revenue split, I’m just sort of thinking about buckets between the clinical and biopharma split in the 130 to 135 guide.
Derek Bertocci: Yes. So in terms of that split, just a second, it is – it is going to be probably getting close to a similar revenue numbers, because we – while we have more samples in the clinical side, we still have full reimbursement there and on the pharma side we have OMNI, so I say that they’re close to similar.
Derik De Bruin: Great. Thank you very much.
Derek Bertocci: Yes. That’s in the precision oncology of course, development services is entirely different revenue stream.
Derik De Bruin: Yes, of course. Yes.
Operator: Thank you. Our next question comes from Puneet Souda from SVB Leerink. your line is now open.
Puneet Souda: Yeah. Hi. Congrats on the quarter. So maybe, just the first question, I just want to clarify for the approval on GuardantOMNI and Guardant360 are going to be filed together and should we expect both at the same time now with BTD also for GuardantOMNI?
Derek Bertocci: So, the answer is no, Puneet. So, the Guardant360 is the IVD program that we’ve been working on for a while, so – and we disclosed the timeline for that PMA submission. GuardantOMNI is a new IVD development activity for us. So, for sure, it’s kind of via the later time, still it’s too early for us to project a PMA submission timeline for that program. But there is a lot of learning and experience and infrastructure, which is scalable here when we did the first IVD program developed at Guardant in order to go through the second development project.
Puneet Souda: Okay. Got it. Maybe, if I could touch on now data again and I know it’s been talked about, but if we saw the data, look, 17 samples had liquid, where liquid picked up versus the tissue, ahead of the tissue. But there were 12 samples, where there was tissue only detection. So, I just wanted to get a sense of how do you sort of position the test after that data and how – in terms of what data sets that you need beyond this in order to convince the oncologist longer-term, the liquid first paradigm is the way to go. Should we just expect that as when the final NILE data is completed for 300 plus patients or should there be more and more studies that here sort of convinced with the oncologists longer-term?
Derek Bertocci: Let me start with that and I’ll let others chime in. It’s a good question. In terms of – let me unpack that in terms of kind of multiple aspects of that question. So, the first is, neither testing modality is perfect, liquid misses some, tissue misses some as well. But what the NILE data shows is there’s a ideal sequence to how you position these tests. if we think about what we’re trying to establish, it’s a blood first paradigm, not a blood only paradigm. And so what we find is because of the shorter turnaround time, the ease of use and the completeness of our liquid solution by sequencing liquid ahead of tissue and refluxing the negative tested patients to tissue, you actually get more complete biomarker testing faster in first line non-small cell lung cancer. And so that’s really the punch line of NILE. Secondly, NILE shouldn’t be taken into a vacuum. It’s one of – it’ll be over 100 publications we have around Guardant360 once the full publication comes out. And so if you think about that what has preceded NILE, obviously studies from University of Pennsylvania that recently read out in JAMA Oncology are complete study with concordance of over 7,000 lung cancer samples and many others looking at concordance, looking at outcomes and no one data set can really move the needle. But NILE is not just one data set. It’s the combination of a steady stream of data supporting use of this type of testing in a first line lung cancer. And so obviously it’s something that we are in the process of an intending to repeat for other cancer types to transition this further and this is going to be enough to completely move the needle. I think we feel very confident that, this is going to go a long way and that’d be basically committed to continued investment in showing where our tests can move the needle and how they can add value.
Puneet Souda: Okay, great. And then, if I could just touch on the GuardantOMNI as a product now it’s getting – it seems to be getting more traction in the market and among the Biopharma and then you obviously have plans for FFA and TD approval for the product, given the features that you are getting out of it, could you first of all give a sense of overall, what features are getting demanded? Obviously this is a 500 gene panel via fusions. You have other product features there, what are you seeing customers asking for, especially biopharma customers and what’s your view here at longer term for product features like TMB, MSI and other things that you were getting out of the product?
Helmy Eltoukhy: Yes, sure. So definitely the excitements around GuardantOMNI has been amazing, it unlike some opportunities for us specially with biopharmaceutical companies with strong I/O programs, but it’s impact is not limited to the I/O programs, here you are even seeing some uptaking targeted therapy areas and some other kind of drug assets. It’s a comprehensive way of looking at all kinds of biomarkers breached our managed pipeline activity around it. The interest has been ranging from translation on medicine sites who have kept on biomarker research and discovery all the way through the clinical development, companion diagnostic as shown by the partnership that’s announced with AstraZeneca that GuardantOMNI is going to be used as a blood based – color. There are some interest around TMB feature around GuardantOMNI, which in order to accurate to call TMB units, it have large panels and also the fact that the TMB calling that you’re using in GuardantOMNI it’s not just the same phone mutation counting, it’s a proprietary way of calling TMB that we feel trout by logical noises. We filled trouts nomadic tram line, variance and discriminates against each other and also be correct for the level of the tumor shedding in circulation, which is critical in order to have an accurate way up can Be an assessment using GuardantOMNI. So there are four different kind of reasons and different kind of unmet needs by our biopharma customers. We are seeing a huge uptake for GuardantOMNI.
Operator: Thank you. Our next question comes from Brian Weinstein from William Blair, your line is now open.
Unidentified Analyst: Hi guys, good afternoon. This is actually Andrew on for Brian. Maybe we could start and just sort of take a step back given this is your first call guiding to a full year and maybe you guys could talk a little bit about the process that you guys went through in order to set your full year guidance?
Derek Bertocci: So, I mean, our full year guidance is obviously based on our annual planning process, which is, a comprehensive look at our customers and markets. We come up with are our best understanding of what we think that the potential is. And then we put that together into a plan and our goal in providing guidance is to provide what we believe to be a realistic assessment of our opportunities. As you can see, it’s close to a 50% increase. So it’s still a very high bar that we’re targeting to go after.
Unidentified Analyst: Okay, great. Maybe just a little bit more specific on that on the clinical volume side, sort of what’s – what’s implied in terms of new clinician ads versus sort of increasing utilization within that group?
Helmy Eltoukhy: So it’s a good question. So, if we think about the current adoption that we’ve seen, before last couple of quarters, it had traditionally a relatively undersized sales force 20 to 30 sales reps. It takes about 60 reps to really good to a full coverage of the 10 to 12,000 oncologists in the United States. And that’s obviously something we’re making good progress in terms of ramping up towards and new edition ads is, I’m going to continue to be an important component in the volume growth given that, it’ll only be a in the coming kind of quarters that we will have adequate coverage of those oncologists. That being said, data such as such as a JAMA Oncology study and others. We’re also seeing that data is very valuable in terms of deepening our – deepening our penetration into more intermittent users of comprehensive testing. And so we see both factors actually contributing to upcoming growth in the quarters and years to come.
Unidentified Analyst: Great. Thanks. And then maybe just the last one on guidance maybe on the development services side. Could you talk about what’s sort of baked in there? Do you guys factor in any sort of new contract signed throughout the year or how do you think about that? Thank you.
Derek Bertocci: So, for development services, because they are large individual agreements, we do look at what we see as prospects. But given that we’re still fairly new in this area and it takes a long time for pharmaceutical companies to get to the point of moving forward. We are cautious about our forecasting and provide, apply a fairly rigorous discounting, if you will in terms of profitability. That being said, we obviously find some very large agreements with AstraZeneca, which provides a very solid base. We are seeing very strong interest from pharmaceutical companies. So, we expect it to grow in the long run. But we’re trying to be measured about how much we expect in the near-term.
Unidentified Analyst: Great. Thanks.
Derek Bertocci: Very good. Thank you.
Operator: Thank you. And I’m showing no further questions. Ladies and gentlemen, thank you for participating in today’s conference. This concludes today’s program. You may all disconnect. Everyone have a great day.
Helmy Eltoukhy: Thank you.
Derek Bertocci: Thank you.